Deborah Honig: Good afternoon, everyone. Thank you for joining us today. We have a presentation with Microbix Biosystems, who is going through their Q1 numbers that were reported last Thursday. There will be another Microbix webinar two weeks from today, which will be a full overview of the company. So, for anyone new to the story, I would highly recommend checking that out, as this webinar will be very detailed about the quarterly results. But happy to have all the investors participate in both.  With me today, I have CEO, Cameron Groome; and COO, Ken Hughes; and CFO, Jim Currie. They're going to do a little bit of an overview of the quarterly results and then we will get right into a Q&A period. As always, this presentation will contain forward-looking statements. If you'd like to know more about those, you can find them on the company's disclosures on their website. And as I said, there will be Q&A, so feel free to input your questions into at the Q&A box at the bottom.  With that out of the way, I'd like to introduce Cameron Groome. Hi, Cameron.
Cameron Groome: Deborah. Thank you.
Deborah Honig: Nice to see you.
Cameron Groome: Well, great to see you as well. And I'll also take a moment to introduce my colleagues, Jim Currie, our Chief Financial Officer; and Ken Hughes our Chief Operating Officer.
Jim Currie: Good afternoon.
Deborah Honig: Looking forward to hearing about the quarterly results. You put up another record quarter, which is fantastic. So maybe you can walk us through the numbers and some updates from the quarterly release.
Cameron Groome: Absolutely. Well, as you mentioned Deborah, we'll go into a little bit of a Microbix for beginners conference or webinar in a couple of weeks’ time. So my I'll focus -- have us focus here more on the quarter and just idiom to say, we are a creator of products, we are manufacturer of products, we are marketer of products, these being biological products that support the global infectious disease diagnostics industry. So we have got well north of a 100 customers, who are test makers, clinical laboratories and agencies that do the proficiency testing and accreditation of clinical labs that rely on our three principal categories of products, those being ingredients to make tests, those being devices to collect patient samples to effective tests, and then the actual devices that are used to check whether tests are working properly and providing active results. So that are the categories of products we make that are sold internationally and used very broadly. With regards to our numbers, our numbers continue to reflect the growth of the company as a medical devices manufacturer regulated and registered licensed products, and not just in the ingredients field, where we were active historically. So now we see products that have Microbix labeling on them that are branded by Microbix and that are finished products being used by companies in a very identified fashion and that's what's driving some of the top-line growth we are seeing. Our Q1 came in at just under $4.9 million in top-line and just under $900,000 at bottom line. So a very satisfactory gross margins, EBITDA margin, net margin associated with that. And that's really the fifth consecutive quarter of meaningful profitability for Microbix, which is great and something we see continuing with profitable growth, and we're continuing to position the company to be able to further grow revenues in order that the $8 billion in increase in sales that we realized in fiscal 2021, isn't a one off with that sort of magnitude growth continues through 2022 and beyond. And we'll talk a little bit about some of the upgrades we're making to staffing, to facilities and equipment, and to control systems associated with that.  So our company is also in a very strong financial position, we're net earnings positive and outside of the sometimes swinging roundabouts for big sales towards the end of quarters, we’re very strongly cash flow positive as well and we’ve a very strong balance sheet with -- I'll lead it to Jim to talk about some of the cash numbers that we have, but certainly well in excess of $10 million on the balance sheet today.  So with that, Deborah, were there any specific questions you've been hearing from shareholders about our results for Q1 or outlook for the balance of the year? 
Deborah Honig: Sorry, we were hanging for a second, had to find my glasses. I don't see any questions coming in thus far. So to the audience, if you have questions fell free to input them. I'm sure that we’ll get a number of them as we always do. Maybe we can talk a little bit more about the lab expansions and how that’s going? 
Cameron Groome: Sure. Why don’t we touch on that? Ken maybe you can touch on little bit about what we’re doing with staffing, with physical facilities, and with support systems and then Jim, perhaps will circle back for a little more specifics on the quarter, particularly as some questions start to flow in. 
Jim Currie: Yes. Sure. No problem at all. Obviously, Microbix is a company in a go forward and with investing in staff and facilities to futureproof our growth, and diversify our offerings as we move forward at scale. Behind me, you'll see the picture of Laboratory 3 in Building 2, which is a brand newly commissioned. It's a part of our rollout plan. And this is obviously a virtual background, I'm actually sitting in my office. And today and in previous days, we're populating that with new staff, just starting to work in there, making products in the VTM space, and in the QAP space.  At the same time, we're building out Building 3 and starting construction on the fourth lab in there, which will house the fully automated systems for production of VTM at the scale to support Ontario, Greater Canada and beyond from there. So we're basically futureproofing the company by investing in infrastructure. Recently we've hired also a Director in IT and his team are improving our quality management system, we got in it eQMS capabilities, a lot of laboratory information, systems and so on and so forth to make sure as we continue to grow, we're able to handle the number of SKUs and the amount of data there in place. And this has been stated before, and we're just executing on that Microbix in rapid growth phase, we're continuing to hire new technical and scientific staff, we're going to be building out the BSL3 facility in Building 1 this year as well. So there's no shortage of activity, making sure we're ready to accept the new opportunities going forward. Again, as we said we would and so we are. 
A - Cameron Groome : Very good, I think Ken the -- some of the points you're making are excellent ones, as we move to be a vital supplier of some of these products to industry, we've got to show that we're able to produce reliably at the much greater scale, certainly in QAPs than we've done before. And we've demonstrated our ability to do that from going to -- from a standing start on viral transport medium to delivering far in excess 1 million vials of viral transport medium for the Province of Ontario in 2021 and into 2022 and continuing. And that's really showing the skill set of industrial global scale manufacturing that we're bringing forward within the company. And all of the investments and upgrades that Ken has talked about are essential to be able to move the company from 12 months clearly revenues now in excess of 20 million to support a number more on the order of 100. And all of our upgrades and expansions are helping drive that.  And one of the nice things about that is those are funded and that's a good segue for Jim perhaps to talk a little bit about Microbix's balance sheet and some of our capital spending plans going forward. 
Jim Currie: Sure, Cameron. We've certainly taken the opportunity of the cash that has come in through public offering, as well as the exercise of warrants, many of which took place in first quarter of this fiscal year. One of the things that we've been looking at is our existing debt. We still -- we have taken down one of our debentures, prepaid our $2 million debenture in the early part of Q1. We also prepaid BDC loan that was in the neighborhood of $300,000 during Q1, As a program that we intended to look at and reducing our debt. We’re also following up on what we had said we were going to do as part of our public offering in terms of investing in the business. Ken has talked about the facilities and the new lab space of which one of them is behind him, which is -- which we've undertaken over the last three to six months. And they can be expensive, the expansion and retrofitting of the facility. So we've now got three facilities in our sort of Mississauga campus, all within about four doors of each other with the capacity to produce the growth that we've strategically set for us as an organization.  In addition to that space we are also looking at automation, automation of VTM and QAPs business and we're making some rather sizable investments in equipment, automated -- automation equipment. So we're looking at between -- in fiscal 2022 spending somewhere in the neighborhood of $2.5 million in capital, equipment expenditures to support the growth of the business. From a cash standpoint, as of, call it Friday, we've got about $12.5 million of cash in the bank, which is great. As I said, some of that's going to be going towards the expansion of equipment, in the expansion space and others provide us with opportunities -- for other opportunities, sorry, as we go forward as well.  That's what I've got on the balance sheet. Cameron?
Cameron Groome: Okay. Thank you very much, Jim. I think it's a very good news, disclosures that we have to make with regards to the nature of the business, the trajectory that we're on and why. And some of our capabilities as you know for -- or as shareholders who follow the company know, our ingredients business, because of its very breadth has been negatively affected by COVID is, as doctors weren't seeing patients and patients weren't seeing doctors, our antigens business has seen pressure on the top-line. But we've more than made up for that with the rollout of our ever increasing portfolio of test control products or QAPs or quality assessment products as the regulatory catch all phrase for it and for our viral transport medium. And our viral transport medium is certainly a very good news story with having generated tremendous sales growth from a standing start in 2021. And the good news, bad news story that of course, is that one customer has been buying the vast majority of our production as fast as they can generally. So as we broaden that capacity out as well, we'll be able to secure more customers and offer better prices as well.
Deborah Honig: Cameron is my mic giving feedback? I'm getting a little bit.
Cameron Groome: Not from my end Deborah. You are fine here.
Deborah Honig: Okay, just wanted to be sure. But we did have one question and something that we usually talk about at the end. So maybe we'll talk about it at the beginning which is the antigen business that you just referenced. In Q1, your antigen business, I believe had a run rate of $7 million, which is significantly below the long-term performance of that business. Can you provide some color, like you just maybe expand a little bit on that and how COVID has crowded out that business? And more particularly what those rebound potential might be, as things begin to normalize?
Cameron Groome : Well, this calls for a bit of reasoned speculation on my part. But I can certainly, historically, if we look at fiscal 2019, which was our last pre-COVID year on antigen business, we generated sales in the antigen business of $12 million for that full year of 2019. And then that came down to more on the order of $9 million the year following for 2020 and for 2021 is around that same $8 million, $9 million range. We are continuing to monitor that business and see when we might see a rebound. We're probably $7 million to $9 million range for fiscal 2022 on the antigen business, unless we see it faster than expected rebound, but that's in our budget numbers. And the beauty of this is we haven't stopped improving the production methodologies and efficiencies in our antigen business. So we're extracting now probably more gross margin dollars even on the lower revenues that we're now experiencing or pretty close to more on those lower numbers.  So as that business starts to rebound, as testing broadens out and a little more normality, and it's not just overwhelming focus on COVID, then we will see that business rebound at higher margins we believe than we've seen historically. So that's very good counterpoint to some of concerns people have expressed around is whether VTM is too COVID related. And for that, the same argument and logic is valid for viral transport medium, because you still need that for many other points of testing, not just COVID. And we're also seeing companies very rapidly key up for multiplex testing capabilities for respiratory viruses and other maladies where for example, in 2021, you would've been tested for COVID and COVID alone in 2022 tests that the forward looking companies are offering tests that at the very least will test for COVID and influenza A and influenza B and a virus called RSV respiratory syncytial virus. And some companies are looking at tests that even can look for 10 or more viruses simultaneously to really say, okay, you've got respiratory distress. Now we don't just want to know whether it's COVID, we want to know what it's? And that affects public health decisions, bio vigilance, that affects treatment decisions, that affects isolation decisions. So as all this moves, we're at forefront of that evolution. And you've seen that with the announcement of our 4-plex control for respiratory pathogens that was released in late December. You've seen that with our Omicron control that can establish whether PCR tests properly detect an Omicron variant COVID. And just to give you an idea of the speed at which we're able to work now, it was precisely eight weeks between our authorizing work to create a COVID control, a COVID QAPs product and having a fully compliant IVD QAPs product that could -- that can -- and is being used to support the accuracy of lab tests for COVID. So that's the kind of capability Microbix has generated, and we've moved faster than governments and certainly larger competitors. We've shown that we have skill and speed to execute such products. And that's one of many reasons why we see great optimism about our business going forward, it’s the breadth of our capabilities and our product offerings. 
Deborah Honig: Do you have any plan to launch a COVID antigen product or participate in the COVID antigen market? 
Cameron Groome : We already have a COVID antigen product and we’ve had one for some months. It is recommended to support many companies’ tests. And there are -- it is validated across several -- I don't know, somewhere -- certainly over 30 different companies’ antigen tests are shown to be well supported by the Microbix COVID antigen test controls. Ken, you look like you wanted to say something there.
Ken Hughes: Yes. It's a fully valid IVD product than has been broadly used around the world. And the first comment I will make would be on the antigen business, and what Cameron said with regards to the efficiencies we are bringing in place, The technical team here -- and I can't speak highly enough -- the scientific and technical team here is continually working on improving processes and margins, and we're seeing the benefits of that. Most people would be aware of what we did with bioreactors and Rubella, but that's not the only product we have as everybody is moving in that particular space. And we are moving on from there. The second thing of course, is that, everything we do is under a fully loaded quality management system. I talked about futureproofing what we are doing, and we are doing that in the context of a highly regulated environment and Microbix’s team and quality management and regulatory affairs is engaged with the scientific group to make sure that we bring in the best product to market.  When I talk to people about what's coming as COVID goes endemic and ahead of the next pandemic, what's going to happen? Things like human papillomavirus testing come up and antimicrobial resistance testing come up. This is something that Microbix has been involved in since before the pandemic. So, it describes our business is far broader than even with spreading viruses, we are very involved in that, and all the capabilities and testing capabilities that’s being generated in the last while throughout the globe are going to need controls and test reagents in this space. We are nicely positioned to continue our highly regulated growth, and that's of course exactly what we are doing.
Cameron Groome : Yes. Very much so. And there is certainly a real need to start to catch up on the many tests that weren't conducted, as a result of different waves of the pandemic. So testing as a broad category is not going away, and there is tremendous capacity that's been built out, that's going to redeployed into other testing, as Ken quite correctly identifies. Those tests are going to controlled. If we haven’t already got them in our catalog we will be adding them to our catalog and as well our VTM supplies will be still needed for many of these categories of patient sample collection stabilization. And right now, for example, we see testing capacity just as we look at COVID and the absolute immediacy of that, we see testing capacity maxed out still even after the eligibility for tests was massively restricted within Ontario, for example. So, the level of stability that we'll see on that, that we are quite optimistic will be quite adequate to meet our budget targets and have a tremendous business on a going forward basis.
Deborah Honig: I did have one question about testing winding down significantly in most jurisdictions in North America. Would you say that's inaccurate?
Cameron Groome : I think you will see shifting in what is tested for and why. We saw for example clinical labs in our home province here reporting wildly high positivity debates for COVID in December, January, February, as the Omicron variants swept through. The public health advice, if you think you have COVID, you probably do stay home is a very good thing. As we start to see lower positivity rates, it makes more sense to test and get more accurate intelligence about what's circulating in the community. I mean you don't want you in your community, you don't the novel flu variant circulating any more than you want a novel COVID variant circulating. And that applies to many infectious diseases in different contexts. 
Deborah Honig: So where do you see the sales going? Do you think that you'll be able to continue, having record quarters sequentially, or do you think you’ll see a decrease in testing, maybe an increase in other business lines. How do you see that playing? 
Cameron Groome: Well, all of our business lines are involved in testing in some capacity. It's what you are testing for becomes the question. So as single channel testing for COVID, I think that will start to ease back as particularly -- even as we come into spring for example, there's a normal seasonality to respiratory viruses, and we'll see that this year as we saw last year and the year before. For us that doesn't quite line up with our sales cycle as we are helping companies stock product and prepare for the fall season. So if the respiratory virus season starts in October, count backwards a number of months for when products are actually built and created stock to prepare for that. So that's one element of seasonality that we look at. The other thing is we're just going to single channel testing replaced with multichannel testing and catch up on other matters. So many people have not attended, for example prenatal workups and obstetrics appointments have been missed as a result of COVID, and pediatric health appointments have been missed because of COVID, and people with lingering infections and conditions have not necessarily gone as readily to see a GP as they might have outside of the pandemic. So we see a lot of these moving forward.  And another big, big trend as Ken was alluding to is patient self sampling, and testing for a variety of pathogens. There's no reason that somebody who is dealing with a sinus infection for example, or a urinary tract infection can’t self sample and that a lab can’t run a panel test to assess, not just be hunting and packing and gasing, is it pathogen A or pathogen B, and gradually working way down to Z, if you can do this tentative time, it's a heck of a lot more efficient and say well, we test for 4, 5, 10 different pathogens, we're going to catch 95%, 98% of cases that are going to fall into that bucket. And if it doesn't fall into that bucket, we want to know what it is and why. So the good news is we're talking about much better healthcare, I think, than we've all seen.  Oftentimes I know my experiences in healthcare system, thankfully have been few, but those of myself and my family have been about getting a definitive diagnosis has struggled. And sometimes the healthcare then flows very, very well. But the challenge is getting that clear diagnosis of what you have. And that's what we're all about helping the industry get there faster and better.
Deborah Honig: And have a lot of questions, and I get this question a lot just generally. So with the restrictions becoming less strict in Ontario, are you worried about the next order from Ontario to never materialize? And I have about eight questions on VTM, so maybe you can walk us through where you're at with….?
Cameron Groome : My quick answer would be no, I am not worried about that. And the reason is that we’ve shown ourselves to be supplying -- reliably supplying a product of superlative quality to Ontario in a time of great difficulty in supply chains. And while there is always responsible pressure that companies are cost competitive or at least reasonably so, we believe our value is very good proposition and being able to drop something off in the same afternoon to the designated facilities of public health as opposed to having a 16-week transit time for a container across the ocean right now, coming from another jurisdiction, that is a very large strategic advantage and one that is appreciated. As well as being under the closer regulatory scrutiny or performing jurisdiction, we really take quality credibly seriously there and we believe we're manufacturing not just good product with the best possible product. And that could be readily validated by any of the -- any of our customers or any of our regulatory authorities.
Deborah Honig: And just other provinces and entities, other governments, can you give us an update there?
Cameron Groome : Yes, as we're moving forward with the build out, and further scaling, that becomes more and more relevant. We have moved forward with the hiring and training of the second shift for a semi-automated production methodology so to double our capacity. And that starts to give us a little more elbow room to be able to say yes, and we can supply you also province B, C, D, et cetera with a strategically relevant quantity. And then as the automation equipment ultimately is installed and validated, then that capacity goes up that much more. And as with most things, the greater your throughput, the more you can pass on cost savings to customers and still maintain that commercially acceptable margin.
Deborah Honig: You referenced some supply chain issues just generally in the world right now. Are you experiencing any supply chain issues in securing products as well as in getting your equipment for the new capacity? 
Cameron Groome : Yes, we are. We've experienced delays at our customers where some launch of new tests and test products have been delayed. We have things like availability of the microchips for example for an instrument has been an issue. We've seen many cases where small unexpected production items are suddenly available at limited quantities or are in backorder. And those have affected some aspects of scheduling production. We've not had any case where we've been unable to deliver product to customer in time to meet their needs. But it does not mean that has been without challenges and maintaining that flow. So I think our team has been very good at validating alternate sources of materials where required. And we've also encouraged our holding directly a greater amount of raw materials inventory to help mitigate that. Previous years, one of Jim's KPIs, for example, was helping to control our inventory levels, the amount of working capital drawn in inventory needs specifically backed off on that to be able to have a greater inventory cushion as we use some of our working capital, so we don't get caught.
Deborah Honig: [indiscernible] QAPs on line is?
Cameron Groome: Well. We will have some updates about that shortly. But we have started the teardown in preparation for install in our third site. The lab that you see behind Ken is obviously done. And the physical construction, we're using some very good techniques to accelerate that. And in the arrival of validation equipment follows of course the install. We'll have a two step process for a second or a third site 275 Watline, where this semi automated production will go in first, followed hopefully in the not too distant future with the fully automated lines. And Ken maybe you want to comment further a little bit on that.
Ken Hughes: We work closely with our contractors to have specialized skills in storing laboratories and clean rooms fairly quickly. A lot behind me went in a matter of weeks obviously through additional validation on that. But we are moving forward expeditiously on Building 3 and 275 Watline Block 4 for VTM. So it certainly won't be too long before that lab is operating and of course, we will disclose as it comes online.
Deborah Honig: Okay, great. Just looking -- I know there’s a few more VTM and then we can move on. I have some questions about guidance. And I'm not sure if Cameron you're in a position to start offering guidance for the year, maybe you can go over your kind of Q -- 2Q…?
Cameron Groome: We haven't given -- made a practice of giving formal guidance. But by and large, we do have an annual budgeting process we go through every year. Typically in November, we have a Board planning off site where management presents detailed analysis and viewpoint on what our objectives are for the coming year in terms of consolidating existing business and securing additional business and building up product. We presented for 2021 -- I'm just trying to remember, I think, we were looking at 19 million change, we came in at 18.6 million. So it tells you that we are pushing ourselves hard in generating top-line and business growth, to come in not at gunpoint to your Board and say, what we want to increase sales by 8 million or 9 million in a single year and move that up by 80%, tells you that we're not exactly timid in how we're approaching this, but it's a reasoned approach. And we look and do a careful bottom up analysis of where -- from what customer do we foresee and forecast getting orders and for what products? So it's carefully identified by customer and carefully identified by product. And then looking from an operational point of view, do we have the capacity to make that product, to make those numbers.  So these aren’t fantasy budgets that we look at. They're very much bottom up driven and very much checked with reality. And you can see Jim’s grim-visage there is that, holds us to account on these things in a very good fashion as well. I tease him a little bit on these…
Jim Currie: I was really just hoping I am not going to say too much. So…
Cameron Groome : Yes, yes. So, we are looking at a similar magnitude of growth for 2022. I think I've spoken as our targets loosely in the $25 million to $30 million range for top-line, as numbers that should be achievable. And as we see that, our objective of course is that our SG&A does attract that growth. It's smaller than that, but we are investing in systems. But I'd like to see it’s coming with four consecutive quarters of profitability in 2020, and I believe that Q4 will be our strongest quarter for the fiscal year given the stalking of products from different companies with whom we are working for the Northern Hemisphere winter in 2022, 2023. And that's -- certainly, there'll be a lot of respiratory in there, but it's not all about respiratory by any stretch.
Deborah Honig: And then switching gears a little bit back to VTM specifically. Is it possible to get a reoccurring order cadence from Ontario? Or are VTM orders likely to remain lumpy and large one offs? 
Cameron Groome : Well, we are working closely with provincial authorities to try and get that visibility and for both parties benefit. I think historically, there's been a little bit of a planning on more of a just in time basis, but we're not in a just in time world anymore. And this is product that takes more than months to manufacture and do, there's a whole step for QC and QA releases product. So, you can't just order -- this isn't something you’re -- gee I feel like, such and such cuisine this time, I'm just going to call Uber Eats and it'll be at my place in an hour, this has to be planned in advance. And we have certainly driving that platform on multiple occasions. I think the delivery we were able to make just before Christmas was most appreciated. And we are going to be pushing hard for that visibility going forward, and to have some standing orders out there, so that we can plan to make certain that the needs of our customers are met.
Deborah Honig: Got it. That actually slides in nicely to another question that's been sitting here for a bit. Do the automation updates necessarily precede any announcement for expanded customer bookings, or do you see a possibility where you could announce an expanded or extended customer orders before the MFG upgrades are complete in order to give some confidence to the market regarding expected revenue growth?
Cameron Groome : The old saying, luck favors the prepared. We are not looking for luck. This is very targeted, but we have to have capabilities in place. We have for example customers for QAPs that we are discussing 100,000 plus units a month capacity and we need to demonstrate that we can deliver that capacity so that customers can rely up us. And that's what we are demonstrating and continue to demonstrate. So, it's genuinely tough to forecast, will capacity could be commissioned shortly before an order that substantiates the need to build capacity or the other way around. And we are not in the business of giving a blow-by-blow on every discussion with every client. There is confidentiality between us and our customers, that's required. So, I think at some point there has to be some credit given to management and our Board that we are proceeding on a reasoned basis as intelligent business people to build a real business. And that's very much what we are doing. You will see in our disclosures we’re in no way promotional or fluffy or trying to jam the shares one way or the other. What we are doing is building a real business and working to create sustained value for our shareholders. And that's what we are doing. And I encourage people, read the disclosures, read the MD&A, read the CEO Letter to Shareholders. This -- we don't do this just because we are required as a public company, we are doing this to communicate to tell you where we are going and why.
Deborah Honig: Can you give an update on any expansion of business in the future with some of your partners [Sea-Genes, Speed, Rx] et cetera?
Cameron Groome : Yes, there are definitely groups with whom we are working that are leading companies in the diagnostic field, that are looking to us for support for their tests. So again, we're not making diagnostic testing instruments or testing systems. These are investments of 10s if not 100s of millions of dollars that are required to launch those successfully. What we're doing is offering the products that pair with those and support them. So if a company, for example, is selling a box of 25 to 50 test cartridges, for example, that might test against -- a test for COVID, a flu A, flu B, RSV I will use that as an example, with every box of 25 to 50 cartridges might include in a Microbix positive and/or Microbix negative control, so that every 50th cartridge can be checked to that instrument is properly in the lab, the pharmacy, the doctor's office, where it's installed.  And our next win, I believe, is going to come with including Microbix products in with the consumables of these big OEM manufacturers. And that's the win that we are shooting for now, and that will drive I believe volumes of QAPs production sales that haven't yet been seen by the marketplace. We’re just scratching the surface of that now.
Deborah Honig: It seems like have a large opportunity. 
Cameron Groome: We believe so absolutely. 
Deborah Honig: I had another question about telemedicine providers. Are there any opportunities to work with some of the telemedicine providers, for example, CloudMD? 
Cameron Groome : Great question. These are excellent companies. We'd have to look at whether we’ve partnered with some of those companies with self collection kits, for example, and it's a very interesting thing. Thus far, it's really been more about replacing the unavailability of a doctor for physical appointment with a Zoom appointment or something like that. But as that gets tied into greater convenience of diagnostic testing as well, there may be a role for that. Well, it's good question. We'll have to explore that. Certainly Sam at CloudMD and others are people we know, and should be having a dialogue. So great, great point and we’ll action it. 
Deborah Honig: Great. That leaves us with one last real -- I have actually two, one is capital markets strategy and the other is Kinlytic, Cameron. Can you give us an update on Kinlytic? I have a bunch of different questions. And one of them is asking, are we still working with the same partner? Can you provide an update with your current expectations for timeframe in closing on transaction?
Cameron Groome : Well, we have dialogue ongoing on Kinlytic. One of the things you'll see in different companies, a lot of firms that have been involved in hospital-based product sales, and these are surgical devices, drugs, et cetera, have been hit hard, as a lot of hospital procedures are getting deferred. That certainly slowed down partnering and it slowed down fundraising for some companies in that space. So we still have contact with multiple parties going on, but I would treat it as aspirational to get a deal done on Kinlytic for us. We're still quite optimistic we'll get one done, but I'm a little bit leery of trying to predict time line.
Deborah Honig: Got it. And can you talk a little bit about your recent options exercise and subsequent share sale?
Cameron Groome: Well, I've exercised options, but I haven't sold any shares. So the company, I think, we had some good appreciation of our Q4 results and, of course, our VTM reorder. I think the same way that you end up with some people that do tax loss selling in -- late in the calendar year if companies haven't performed well. As we have performed very well, I think you saw some tax gains selling in the new year with people rebalancing portfolios. There are also occasional exercises of options and warrants. We have a convertible debenture that is converting -- maturing and converting this month. So this is the normal ebb and flow of supply and demand on a given day. And frankly, we don't control that. What we're on about is making sure we're continuing to build the business and create the real value. And the trading volatility, it's a good opportunity for people to add to positions and for people to rebalance where they need to.
Deborah Honig: Okay.
Ken Hughes: Just getting close to blind a little bit, so the glare off my head isn’t too blinding.
Deborah Honig: I'm getting a little bit of sun thing happening over here as well, which is nice. It's nice that the sun is -- not complaining. I guess the last series of questions that I had, Cameron, is just about the capital market strategy and what we're doing to get the name out there. I think you can talk to some of the events that we have upcoming.
Cameron Groome: Yes. We -- I am attending the Capital Events Management Conference in Whistler at the end of this week. And we'll be meeting with a number of investors on the West Coast. We also have a webinar scheduled in 2 weeks' time for a more comprehensive run-through in the business for investors that are less aware of Microbix. And we're also doing some work not just with Deborah and Adelaide Capital here in Canada, but also with Torrey Hills, the Investor Relations firm based in California. And we are starting to see companies take note of us. I'm aware of a private equity hedge fund in Greenwich, Connecticut has taken a position and we have a firm in California that's taken a position. We're in a firm in the Midwest that's looking. So we are starting to see serious investors taking a look at what we're doing and liking what they're seeing for the reasons we've described. And that may as well, hopefully, start to broaden our audience in Canada, ideally, with more equity research coverage from some of the investment banks in Canada. And I wouldn't be at all surprised if we make it into the Small Cap TSX Index during the annual rebalancing in September if we continue to hit our budget numbers and are demonstrating strong quarter after strong quarter. And these start to build the audience. We're still a micro cap or nano cap, whatever the bucket is, but we broke $100 million market cap before the year-end 2021, and I think that's reflective of the fundamental progress of the business that we're continuing to push.
Deborah Honig: And I noticed that you have a new marketing strategy. I believe you hired a new marketing person last year. Is that correct?
Cameron Groome: Well, we've got a few people -- new people in the sales and marketing group. And this is looking to deliver sales in different categories. And this, again, speaks to the breadth. We have direct sales in Canada. We have direct sales in the U.S. We have sales through distributors. We have sales to proficiency testing agencies. We have sales to immunoassay test manufacturers. We have sales to point-of-care test manufacturers. So we're really building out a very broad customer base and product line, and we're going to see the benefits of that.
Deborah Honig: Agreed. Well, I think one of the comments was that -- and I mentioned this to you this morning before the call -- that we're starting to see some Google ads and things like that for Microbix products, which is good to see. And then the last question. Here's the question. Is there a yardstick that can be used to determine how undervalued this company is when compared to peers? As a former analyst, Cameron, what do you think?
Cameron Groome: Well, yes, you're [indiscernible] -- we're -- certainly, we've seen life science valuations come down a little bit over late 2021 and into 2022 more broadly, but I think we believe the analysts covering Microbix view us substantively undervalued relative to peers. Now some of that is a size and liquidity discount of the peer companies that are a bit larger or substantially larger than us, but we can well post some very strong numbers for fiscal 2022 on a bottom line basis. And when you start looking at a price-to-forward earnings or enterprise value to EBITDA or some of the other price to sales, some of the other measures that are used, we routinely come out of at a fraction of the valued peers. And I think as our trajectory continues to solidify and we post further and further consecutive quarters of strong results, record sales and record earnings, you're winding the spring. And I go back to Jack in the Box methodology. You just keep cracking on that, just keep cranking. You don't know when it's going to pop, but eventually, it will. And that's the way we look at it. And we also want to make sure that, that gap doesn't get so big that we're an acquisition target that gets taken out without ever fully realizing the appreciation for longstanding shareholders. So that's why we do the ongoing Investor Relations work even when we don't have an immediate need to tap capital markets. Jim, what are your thoughts on some of what you see in peers and valuations? Any thoughts on those?
Jim Currie: Certainly, as you identified, Cameron, there's been a lot of pressure in the life sciences market more recently. We haven't seen that same level of pressure on our performance. And as you indicated, we continue to believe that we're undervalued, and we're just looking for the investment communities to see that and continue to invest in Microbix and the growth trajectory that we're on.
Cameron Groome: Yes.
Deborah Honig: Well, I don't see any other questions. I think that's a good place to end off, and we've kept it to the hour, which is miraculous really because usually there's so many questions. Anything that you wanted to cover today, Cameron, that we didn't touch on? Any final thoughts that you want to leave investors with?
Cameron Groome: Final thoughts, I'd say, we've got a very strong business now, great team that's working very hard to deliver on things. And we're positioning the company to be able to successfully scale our sales, our earnings and keep growing and delivering real value.
Deborah Honig: I think it's a great way to start the year off with a record quarter. And as always, you seem to pick the holidays to spend with your shareholders. So happy Valentine's Day.
Cameron Groome: Thank you very much. Yes. Good one. A big hug to everyone.
Deborah Honig: If anyone has any questions that didn't get answered or you're watching this online at a later date, you have a question, feel free to reach out, I'll get those answered for you. And yes, have a great afternoon, everyone. Thanks so much for your time.
Cameron Groome: Okay. Thank you, everybody.
Jim Currie: Thanks.
Ken Hughes: Bye, guys.
End of Q&A: